Operator: Hello, and welcome to the Commerzbank AG conference call regarding the fourth quarter results 2025. Please note that this call is being transmitted as well as recorded by audio webcast and will be subsequently made available for replay in the Internet. [Operator Instructions] The floor will be opened for questions following Bettina Orlopp's and Carsten Schmitt's presentation. Let me now turn the floor over to our CEO, Bettina Orlopp.
Bettina Orlopp: Good morning, everyone, and welcome to our earnings call. You already saw the bottom line and capital return yesterday with our pre-release. And today, we are pleased to present the full picture of our Q4 and full year performance 2025. I will present to you our overview of the year and share our strategic and financial view going forward. Afterwards, Carsten will walk you through the detailed financial performance of the fourth quarter. We can report on a very successful year for Commerzbank. We achieved our growth targets and in many areas, exceeded them. We delivered a record operating result and will return even more capital to shareholders than originally planned. This is a clear proof to the fact that our Momentum strategy pays off and drives profitable growth. In 2025, we created significant value. On the financial side, we achieved an operating result of EUR 4.5 billion, an increase of 18% compared to previous year. Our return on tangible equity before restructuring expenses reached 10%. This is the highest return since the global financial crisis, and hitting this double-digit figure is an important milestone. It demonstrates the improved strength and profitability of Commerzbank and sets our new baseline for growth from 2026 onwards. This is complemented by a capital return of EUR 2.7 billion for 2025, higher than we thought back in November, and bringing the total since 2022 to EUR 5.8 billion. This financial success translates into value for all our stakeholders. For our shareholders, the market has recognized our growth path and our transformation. Our share price has more than doubled in 2025, reflecting the confidence in our strategy and its execution. For our employees, our success is also their success. We launched an employee share program and saw a high participation rate of 90%. This creates a culture of ownership and aligns the interest of our team with the long-term success of our bank. And for our clients, our growth is a reflection of their trust. We grew our corporate loan volume by 10% and our securities volume by 9%. This shows that our clients value our partnership and our expertise, in particular, in the current economic environment. We are a reliable partner for our clients, especially in the German Mittelstand. A more detailed look at the financial performance underpins the positive trend across our key metrics. Our total revenues climbed by 10% to EUR 12.2 billion. This was driven by good performance across the board, particularly by a 7% growth in our net commission income and the strong results from our Polish subsidiary, mBank. Even in an environment of lower benchmark interest rates, we kept our net interest income nearly stable, reflecting our successful NII management. At the same time, we have maintained our consistent cost discipline. We improved our cost-income ratio by 2 percentage points to 57%, achieving our target for the year. This was accomplished alongside strategic investments as well as absorbing one-off effects such as higher valuation of equity-based compensation due to our share price performance. This combination of revenue growth and cost control led to the 18% increase in operating results. This demonstrates the improved earnings power of our bank. Our net result stands at EUR 2.6 billion. If adjusted for the restructuring expenses, it rose strongly by almost 13% to EUR 3 billion. This underlying profitability is also reflected on our net RoTE before restructuring expenses, which, as mentioned, reached 10%, exceeding our target. I already touched on capital return, and we'll come back to it shortly. But before that, I would like to draw your attention to the execution of our Momentum strategy. We have delivered on our strategic milestones in 2025, driving both growth and transformation. On the growth side, we have leveraged our franchise for capital-accretive loan growth, demonstrating our strong client relationships. Furthermore, we have taken a smart analytical approach to deposits. By using AI, we improve savings retention, apply sophisticated pricing schemes and grow volumes through reactivation of existing customers. The strong focus on client needs has supported the growth in our fee business across all customer segments, contributing to our revenue uplift. On the transformation side, we have implemented the new enhanced service model for our private customer. As one key element, we have created more capacity for high-quality advice in private banking and wealth management. This is a key step to further grow our fee income. Our restructuring program is on track with the ongoing shift to sourcing and shoring locations progressing as planned. An important component of this transformation has been the introduction and expansion of AI-based capabilities. We are already realizing initial efficiencies and improve both customer and employee experience. This is happening as we speak, and I will come back to this in a minute. Overall, we are very pleased with the success of our Momentum strategy, which paves the way for 2026 and beyond. Our priorities are clear. First, we are fully committed to delivering on our 2026 to 2028 strategic and financial targets. We have a clear plan, and our 2025 results give us all the confidence that we will achieve it. Second, we will continue our growth path. This will be supported by an expected modest recovery in the German economy and the government's stimulus package. Further catalysts from 2027 onwards will be the pension reform in Germany, which comes with government-subsidized securities savings plans. Third, we will further increase the usage of artificial intelligence to transform the bank. We will increase the investments in AI to drive efficiency, enhance customer service and create new revenue opportunities. Fourth, we will continue the execution of our Asset Management Growth strategy. This is an important building block to achieve our targeted growth of 7% annually in fee income. And finally, we will strive to optimize the deployment of our excess capital, including the ongoing screening of inorganic growth opportunities. Let me expand on 2 of these key priorities, artificial intelligence and asset management, starting with AI. AI is a fundamental driver of our ongoing transformation. We have built a solid starting point in 2025, moving from concepts to concrete applications that deliver benefits. Let me highlight a few of them. In our advisory and customer service center, our AI-powered agent assist provides real-time call transcription, generate summaries and recommend suitable solutions. Workplace tools like cobaGPT make information retrieval and content creation for our employees significantly faster. Our in-house tool Fraud AI helps to automatically detect fraudulent activities. And in our banking app, our virtual assistant, Ava, combines generative AI with Avatar technology to assist customers with their banking needs. The benefits are already visible and will increase every year. In 2026, we will expand and enhance the use cases we started in 2025. We will also introduce additional GenAI applications such as for legal contract generation and annual report analysis for risk assessment. Furthermore, we will continue piloting agentic AI in collaboration with our strategic partners to drive further process transformation. In conclusion, AI will change banking, and we are well underway in this transformation. We have increased our change budget for 2026 from originally planned EUR 500 million, to almost EUR 600 million and an increasing share of this is allocated to AI. The key lever for growth, particularly in our fee income is our Asset Management strategy. Our strategy is based on a combination of in-house asset management offerings and partnerships, creating a platform that provides a wide choice for our clients. Our in-house capabilities cover a broad range. This includes discretionary portfolio management and liquid strategies at Commerzbank and our specialist manager, Yellowfin. And in the areas of private markets, we have the expertise of Commerz Real in real estate and infrastructure as well as Aquila Capital in clean energy and sustainable infrastructure. Combined, our in-house units managed EUR 67 billion. Currently, we see more inflows in liquid assets and the more challenging environment for less liquid assets. Regarding early-stage investments into renewable energy projects, Aquila faces market challenges, which put pressure on 2 specialized institutional funds. Hence, we have pulled forward the full depreciation of the acquired capitalized client value. Going forward, we fully focus on developing our existing business and adding new business to meet the demand of our clients. The in-house offerings are complemented by our partnerships, which provide a full set of standard fund and ETF solutions with a volume of EUR 95 billion. This setup is designed to expand our business with our clients. It will further strengthen our position as a comprehensive partner for their investment needs. Let me move on with a central element of our equity story, our commitment to delivering capital returns to our shareholders. For the 2025 financial year, we will return EUR 2.7 billion to our shareholders, EUR 200 million more than originally planned. This reflects a 100% payout ratio before restructuring expenses and represents a total yield of 7% based on the market capitalization at the start of the year. Regarding the mix and given that we trade well above book value, we have decided to put more emphasis on the dividend. Hence, we intend to propose an increase to EUR 1.10. On share buybacks, we have decided yesterday to start another buyback of up to EUR 540 million tomorrow. This comes on top of the EUR 1 billion buyback, which was completed already in December. Looking forward, we continue targeting a payout ratio of 100% of our net result after AT1 coupon payments. We intend to further grow the dividend share towards 50%, establishing Commerzbank as a reliable dividend stock. This capital return policy comes with a total yield increasing to 10% in 2028 and remains a key cornerstone of our strategy. Our performance and strategic execution give us confidence for the year ahead, and January has already been a very good start. Hence, we have increased our outlook for 2026, which confirms the traction of our Momentum strategy. We anticipate a supportive, albeit modest macroeconomic environment in Germany with government stimulus supporting the economy. This is reflected in a GDP growth of 0.9% and an inflation remaining close to the 2% target. Furthermore, we expect ECB's deposit rates to remain at 2% throughout the year. Against this backdrop, we have set clear targets for 2026. We are aiming for a net result of more than EUR 3.2 billion. We will continue our strict cost management and plan for a cost-income ratio of 54%, which is 2 percentage points better than originally planned. And we are targeting a return on tangible equity of more than 11.2%. And as I just mentioned, we are committed to a total payout of 100% of the net result after AT1 coupon payments. Finally, I would like to provide a transparent view of our path towards our 2028 RoTE target of 15%. Starting from our 2025 adjusted RoTE of 10%, we have a credible road map to reach our goal. The journey will be driven by several key factors. The diminishing burdens from the FX loans in Poland will provide an uplift, and the positive impact from the restructuring will also contribute in terms of cost measures. The main drivers, however, will be loan growth and the replication portfolio lifting net interest income and the target 7% annual growth in net commission income. We also see potential upside. The steep yield curve, a stronger-than-expected German stimulus and an accelerated impact from our AI initiatives could all provide additional tailwinds to our profitability. They are not yet reflected in our 2028 plan but form tangible drivers with a very good likelihood to materialize. Of course, we are also diligently monitoring potential headwinds such as geopolitical risk, trade tensions and intensifying deposit competition. However, we are confident that we have a very robust and credible plan to navigate these challenges and deliver on our 15% RoTE target. And to use one of my favorite words, you can consider the target as our floor. And with that, I hand over to Carsten for a detailed look at the financials of the fourth quarter. Over to you, Carsten.
Carsten Schmitt: Thank you, Bettina, and good morning, everyone. The results of the quarter speak for themselves, strongly contributing to the excellent results for the year. In Q4, the net RoTE reached 10.1%, slightly above the level we reached for the whole year before restructuring expenses. This is driven by a near record operating result that is in turn based on very strong revenues. The CET1 ratio remained unchanged at 14.7%. I will now go through the details, starting with revenues. Revenues were exceptionally strong in the quarter, up 6% compared to last year. Net interest income has exited the trough that was induced by the ECB rate cuts and will continue to grow in the next quarters. Net commission income is the best ever achieved by the bank in the fourth quarter. The net fair value result reached EUR 74 million. The EUR 27 million increase compared to Q4 last year was driven by a higher fair value result, mainly at mBank, offsetting lower interest income. Other income, excluding FX loan provisions, reached EUR 79 million and mainly stems from a positive hedge result. Now to net commission income in more detail. All customer segments grew their business year-on-year, resulting in a record fourth quarter. This is a clear testament to the excellent work done by the teams. Corporate Clients continues to grow in trade finance year-on-year on the back of our strong market position and despite the ongoing weakness in German exports. The biggest increase, however, came from lending where fee income linked to loan origination has continued its upward trajectory as we have maintained good volume growth. Private and Small Business Customers in Germany continue to expand the securities business, both from securities volumes and transactions. The better payments business is driven by higher account fees, while the cards business contributed less this quarter. We have continued to increase the share of customers who have signed up to the new account model to around 65% and have only lost customers with low revenue contribution. As last year, the discretionarily managed portfolios performed very well in the quarter, contributing a significant portion of the revenue increase compared to the last quarter. Let's move on to the interest income. With ECB rates unchanged to Q3, a strong loan business in Corporate Clients and successful deposit management, interest income in Commerzbank grew slightly in Q4. Conversely, in mBank, the effect of materially lower Central Bank rates is visible in net interest income. However, the effect has been partially offset in net fair value. As rates in Poland are well below last year and might be reduced further, this will also have an effect in 2026. Looking at volumes, growth has continued across the board. Corporate Clients has again increased loan volumes in all customer groups. As customers improved their liquidity positions towards the end of the quarter, the average deposit balance was EUR 2.7 billion higher than in Q3. Therefore, both loans and deposits contributed to the increase in revenues. In PSBC Germany, loan volumes have been stable. Deposits are up based on inflows in both sight and call deposits. The deposit beta has come down in the quarter as high rates offered for new retail deposits in the summer started to expire. While we will have more expiries in Q1, comdirect has initiated a new deposit campaign with attractive rates in January. We, therefore, will have offsetting effects in the beta. On the next slide, I will give you more details on the loan growth in Corporate Clients. In 2025, Corporate Clients achieved a EUR 10.9 billion loan growth, of which EUR 2.4 billion was achieved in the fourth quarter. The mix in 2025 has been weighted towards the international business. In Germany, we had only moderate demand from corporates. However, we did see growth from the public sector. Corporate demand has been across sectors with the 2 largest being energy and consumption. New business has been good in Q4. The new loan agreements signed will be drawn over time and start contributing to the net interest income in the next quarters. Looking into 2026, January has started well. We have seen some pickup in demand in Germany and have continued demand outside of Germany. We are, therefore, confident that we will continue our profitable growth trajectory in 2026. This brings me to the next slide with the outlook for NII. We raised our outlook to around EUR 8.5 billion for 2026. The main reason for this is the more favorable forward curve in combination with the increased size of the replication portfolio. Due to these, the replication portfolio will contribute an additional EUR 600 million in 2026. ECB rates are expected to remain at the current level, slightly lower than in 2025. In combination with the effect of moving more deposits into the replication portfolio, we anticipate an impact of around minus EUR 200 million from the deposits invested at floating rates. For the beta, we expect an increase from 40% on average in 2025 to 42% in 2026, leading to EUR 100 million lower interest income. This should be more than compensated for by growth in loans and deposits. Finally, interest rates in Poland have come down significantly and are forecast to go down further. We, therefore, expect interest income in mBank to be lower in 2026. Based on the current business mix and our assumptions for the deposit beta, volume growth and the forward curve, we expect further increases in interest income in 2027 and 2028 with a clear potential to reach around EUR 9.4 billion in 2028. Of course, there could be more intense deposit competition than anticipated or lower rates, particularly in Poland, than assumed, which would lead to slower revenue growth. Conversely, the environment might become more favorable. Now to costs on Slide 21. We have reached our target cost/income ratio of 57% for 2025. This is based on strict cost management as we had to compensate 2 larger unplanned cost items in 2025. One is the doubling of the share price and its impact on share-based compensation. The other is the accelerated impairment of intangible assets. Together, they represent 3% of our cost base. Excluding these items and due to our cost management, costs increased by only 3%. The main cost drivers have been general salary increases, investments and the build-out of our shoring and sourcing centers. The cost increase in mBank is mainly due to business growth but also higher compulsory contributions are a significant factor. We will maintain our strict cost management approach in 2026 and are therefore confident that we will reach our improved target cost/income ratio of 54% for the year. While not part of the regular cost base, we had final restructuring expenses of EUR 9 million related to our Momentum strategy in the quarter. The next slide covers the risk result. The risk result came in at EUR 207 million. This is better than expected and in line with the previous year. The portfolio has proven to be very resilient. We have maintained our approach to overlays. There has been no material change in the outstanding amount, which stood at EUR 147 million at the end of the quarter. The risk result for the financial year reached EUR 722 million, well below our guidance of less than EUR 850 million. Nevertheless, for 2026, we again guide for a risk result of around EUR 850 million. In 2026, the German economy will leave a 3-year phase of stagnation and should show moderate GDP growth. But given the ongoing structural changes and higher default rates, we prudently plan with a slightly higher risk result, which is equivalent to 25 to 30 basis points cost of risk. This concludes the view of the key line items. I've already covered the main drivers of the excellent operating result and will therefore focus on the net result. Full year taxes and minorities are higher in 2025 than in 2024, reflecting material changes in the tax codes in Germany and Poland as well as a better profitability in mBank, increasing the minorities. For 2026, we expect a tax rate at around 30% due to a higher tax rate in Poland and further rising minorities as the profitability of mBank should continue to increase. The next slides cover the results of the operating segments, starting with Corporate Clients. As already mentioned, Corporate Clients had a very good fourth quarter. Revenues benefited from the ongoing healthy loan growth and the good capital markets business. Also, the increase in deposit volumes contributed. This is clearly visible in international corporates with 13% higher revenues. Institutionals again reached a very good level of last year. Mittelstand also increased revenues in the loan business. However, year-to-year, this could not fully compensate the effect of lower rates on deposits. In PSBC Germany, our new client advisory model has become fully operational in Q4. This has come with the reassignment of some customers. Due to these changes, the Q4 revenues of the 2 units can be only compared in combination to the previous quarters. Looking at Private Customers and Small Business Customers in aggregate, revenues have increased substantially in the quarter. The biggest drivers have been the securities business and the deposit business. While asset management overall showed better revenue than in the previous quarters, the asset management subsidiaries have lower Q4 revenues compared to the previous quarters as these benefited from transaction fees, which tend to be lumpy and not evenly distributed over the quarters. For the financial year, revenues of the asset management subsidiaries have been only slightly lower, reflecting a partially more difficult market environment. mBank has maintained its good profitability. The customer business has held up well despite being impacted by the lower interest rates in Poland. As expected, provisions for FX loans have again been lower than in the previous quarter. For 2026, we maintain our outlook that the burdens from FX mortgages, which have been EUR 483 million in 2025, should no longer be material. mBank should further increase its contribution to our result in 2026 and plans to resume paying a dividend. Others and consolidation reported a small operating loss in the quarter. For the full year, the operating result is plus EUR 32 million, in line with our expectation of a neutral result for the full year. For 2026, we again expect a more or less neutral result. Now to the RWA and capital development. The CET1 ratio was stable at 14.7%. Overall, minor RWA and capital changes largely canceled each other out. In total, we have dedicated EUR 2.7 billion for distribution to shareholders. This is equivalent to 154 basis points of the CET1 ratio and represents a yield of 7% based on the market capitalization at the end of the year. In 2026, we intend to again distribute 100% of the net result after AT1 payments. Therefore, as in 2025, we will not include the net result in our CET1 ratio calculation. As already communicated with the Q3 results, we have received the SREP letter from the ECB. Our 2026 capital requirements were lowered by 10 basis points as we must hold only part of the regulatory capital requirement as CET1, the MDA will be reduced by around 6 basis points effective since January. This brings me to the outlook for 2026. As already mentioned, we have improved our outlook for NII from EUR 8.4 billion to EUR 8.5 billion. As in 2025, we target 7% growth in net commission income and expect a risk result of around EUR 850 million. Based on the improved revenue outlook compared to our original momentum strategy, we target a cost/income ratio of 54%. This is well ahead of our original target of 56%. The same applies to the outlook for the net result, which should be above the original EUR 3.2 billion target. As mentioned, we confirm our target payout ratio of 100%. The CET1 ratio at the end of the year should still be above 14%. And the RoTE should increase from 10% in 2025 to more than 11.2% in 2026. For '28, we confirm all targets laid out in our Momentum strategy and, as Bettina has pointed out, with clear upside potential. Thank you very much for your attention. Bettina and I are now looking forward to taking your questions.
Operator: [Operator Instructions] Several questions are incoming. The first question is from Jeremy Sigee from BNP Paribas.
Jeremy Sigee: Two questions, please. Firstly, thank you for all the guidance on the outlook and that kind of thing. Could you talk about your expectations for costs in absolute terms? You've obviously given us a cost-to-income ratio, but could you talk about the absolute amount of costs that you expect in 2026? And then second question, you mentioned loan demand limited so far from German domestic corporates. But I think you said you'd seen a pickup in January, unless you're talking about something else, I think you said you've seen a pickup in loan demand in January. And I just wondered if you could give us an update on how corporates are behaving and how they see the German stimulus and reforms coming through? How much action you're starting to see on that front?
Bettina Orlopp: Yes. Thank you, Jeremy. So on the second question, with respect to loan demand, I mean, we have seen a very good start actually into January. But this is again very much broad-based. So it includes international locations but also Germany. If it comes to Mittelstand, they are still hesitant. They are still waiting for more reforms to come. There are always exceptions. But overall, and I mean, you see it also in the GDP growth, which is now at 0.9%, but we also expected it last year a little bit higher that this hesitance and you see it in the sentiment index, that we still wait for the turnaround [indiscernible] because we also support our clients going abroad. And on costs, I hand over to Carsten.
Carsten Schmitt: Yes. Thanks for the question, Jeremy. So on the cost side, as you know, our main sort of driving principle is the cost/income ratio, which we are aiming to improve to 54% this year. With regard to the absolute cost target for the year, which will also keep firmly inside clearly, let's start from -- coming from '25. We are looking at EUR 6.9 billion in '25. And as lined out, we had around EUR 200 million of extraordinary effects, which we compensated with our strict cost discipline last year. So deduct that. If you add 3% to 4% of the updrift in cost that we have by general salary increases and potentially another EUR 100 million for additional investments we intend to make this year into our strategy, then you arrive at something that should be nearing the EUR 7.1 billion from below.
Operator: The next question comes from Benjamin Goy of Deutsche Bank.
Benjamin Goy: Two questions, actually follow-ups to what you said. The first one is, Carsten, you mentioned net interest income will continue to grow in the next quarters, specifically wondering about Q1 where you obviously face some headwinds from day count. So also Q-on-Q up in Q1, then steady growth after that? And the second question is on the very strong start to January. I mean you commented on loans but also wondering about any comments you could do on deposit campaigns, how the retention went on -- at comdirect and also on the fee income side, what you're seeing so far?
Bettina Orlopp: Yes. I mean, January has been strong across all dimensions, actually. I mean, risk result, you would anyhow not expect anything in January. But on the cost side, high cost discipline on the revenue side, a very, very good start on NII, and Carsten will dig deeper into that in a minute. But also on the net commission income side, it has been an excellent start.
Carsten Schmitt: Yes. And Benjamin, looking into the NII, you had a few questions. So first of all, I think what we've seen in Q3 last year was what we call the trough of the NII development. So we've seen an uptick already in Q4, and we expect this to also carry into the coming quarters. As mentioned earlier, we are looking at a slightly lower beta at the end of the year given that we had campaigns running out, and we are now starting a new campaign. So let's see actually how that potentially impacts the beta movement. But generally, you should expect the net interest income to steadily increase throughout the year and towards the new guidance of EUR 8.5 billion. With regard to the campaigns, we started, as we usually do beginning of the year with a campaign in comdirect. And you also asked around the retention rates of the previous offers that we had out. I mean those fluctuate, as you know. The purpose that we have with these offers is to bring the money and the customers in in order to ideally then also transform them into other quality products like asset management, investment, securities volume. So it's always a bit tough to say how much is actually flowing out, but we see this as a very good means to actually increase volume also on that side and then also support our commission income.
Operator: The next question comes from Kian Abouhossein of JPMorgan.
Kian Abouhossein: The first question is just on the beta. What gives you the confidence? You mentioned 40% for '25. I think I saw 41% in the fourth quarter average and 42% for the year '26. Just if you can discuss where that confidence is coming from. Clearly, you have delivered in the past. Just trying to understand the deltas, both on the corporate side, where I think last quarter, you also discussed a little bit more pressure, but not this time around, from what I listened to. And in that context, can you just talk a little bit around your funding profile. I can see there's some funding coming up not just this year, but over the next 2 years as well. And I'm just trying to understand how you -- how should we think about duration of funding and cost of funding on replacement, if I may?
Carsten Schmitt: Yes, Kian, thanks for the questions. Let's start with the beta. You're, of course, as always, absolutely right on the beta figures, also for last year. We had an average of 40% last year. What makes us confident that we are planning well with the 42% is that, A, we will see a slight updrift, as I just mentioned, given that we are running new campaigns. Also, we are aware that usually beginning of the year, we see the market being quite competitive. We had a similar discussion last year. But if we are looking a bit into sort of what we base our confidence on, number one, we have proven actually for ourselves last year that managing the deposits and also the pricing of the deposits, is including our AI-based approach, i.e., we are also making improvements in how we price, what we have in the books and how to retain these volumes. So that actually puts us into a confidence space that we can use this to also counter a bit of the challenging environment we might be seeing. And you mentioned the corporate side specifically, as you might have heard also in my speech, we had quite significant volumes coming in also on the corporate side. And this actually gives us, at this point in time, also support. So at the moment, this is what puts us very confident for the beta development. Then when it comes to sort of the funding profile over the next years, I mean, we are looking at around EUR 12 billion that we are going to fund this year. As you know, we have a funding plan that is usually rolled out over the next years, and we are trying to keep our well-established and good mix. We are currently looking into slightly longer tenors that we are issuing, also making sort of benefit of the current market environment. And clearly, credit spreads are beneficial for us. So funding profile that we have improved since last quarter with a bit of prefunding last year already and also going into the next should actually help us to further positively manage our funding costs.
Operator: The next question is from Tarik El Mejjad from Bank of America.
Tarik El Mejjad: Two questions from my side, please. First, on the net interest income guidance. You've done a beat and raise in every -- literally every quarter since your CMD. And I think there's more to go, but you haven't really updated on '28. So when should we expect guidance change or update in '28? And should we see the same dynamics so far being applying in the long term as well there with the volume component? And then my main question actually is on the cost-to-income and on your investments. I've noticed actually in Slide 9 on the payout ratio for '26, you say that this is before restructuring expenses -- potential expenses for '26. Is it fair to think that the whole your increased focus on AI, and you've -- Bettina, you've highlighted as really a critical driver for better efficiency in the longer run, should we expect a lower than 50% cost-to-income in '28 coming from investments from this year that will be actually removed from the payout ratio? So in other words, you basically be able to pay more than 100% payout with shareholders not paying for the cost of this restructuring and also you lower by then your CET1 ratio? Is my reading correct?
Bettina Orlopp: Thank you, Tarik. So on your first question, it's pretty simple. EUR 9.4 billion is the latest expectation for 2028, assuming that the yield curve stays intact as we see them currently. When it comes to the cost-to-income ratio, and the guidance for 2028, we said that it's really -- it's -- for the cost-to-income ratio, you could say it's a cap because we definitely want to achieve the 50% and might go even below given that we will use specifically the year 2026 and the upcoming strategic dialogue and multiyear planning process to evaluate the effects we currently see. And as said, and you know that from us, whenever we are done with the planning, we also come out with updated numbers. So you can expect that this year as well. When it comes to the payout ratio, I mean, investments into AI are clear investments. They are shown in the cost line and nowhere else. So there is no real possibility to exclude that one from the payout ratio. We are increasing our investments as we speak. So already in the 54% guidance for this year, we have an increase in investments from the original EUR 500 million planned for change into -- up to EUR 600 million. So we absorb it basically in our cost targets. So the payout reference is really restricted to real one-offs and something like real restructuring charges. But at least with the latter one, we are definitely done and -- except for the Russian topic, which we always raise, we don't see also any potential one-offs luckily.
Tarik El Mejjad: Okay. And the strategic update is usually -- always you do it in September, right?
Bettina Orlopp: Yes. I mean, I think normally, we come out with the Q3 numbers, but something around that, yes, you can expect.
Operator: The next question comes from Borja Ramirez from Citi.
Borja Ramirez Segura: I have 2, please. Firstly, on the hedge. I would like to ask the increase in the hedge in the 4Q. What were the duration of that and also the average yield? And also your -- the hedge benefit that you disclosed, I would like to ask, is that based on the current forward swap rate? And then my last question would be, I think based on the ECB data, the yields on your mortgages are around 100 basis points above the 10-year swap rates. So I think there's maybe some benefit in your NII from this as well. So I would like to ask if there's also some upside compared to the target on this point as well, please?
Carsten Schmitt: Yes. Borja, thank you for your questions. Let me start with the replication portfolio, so the hedge portfolio that you referred to. In Q4, we did increase the size of the portfolio. As always, we are looking at the overall amount of deposits that we're having and then the amount that we can model. The amount that is available for modeling is slightly above EUR 200 billion, and we decided in Q4 to actually enhance the size of the portfolio by EUR 9 billion. Together with that, because we've invested that indeed at current rates, you see an uptick in the average yield of the portfolio of around 9 to 10 basis points on the full portfolio, and we're now at around 1.14%. So that is up from the levels we discussed in the previous quarters last year. So with that, actually, we will have positioned ourselves nicely in the current market environment and also slightly to the longer term in the investments. Then second question you had on the mortgages. Let's just assume the rates that you mentioned. I think the ingoing factor for us is the volume of the mortgage book, and you will have seen that this is stable if you look at the volume bars in our presentation. In Q3, we saw a very healthy front book of EUR 2.7 billion. In Q4, we saw another EUR 2.1 billion. And as you know, these will roll in with time. So it will take about a few quarters until we see the full volume. That clearly stands against some of the early repayments. But overall, that book and the front book comes in at good margins and should be supportive for our NII.
Borja Ramirez Segura: And just to confirm, the replication portfolio benefit in NII guidance, that's based on the current forward curve?
Carsten Schmitt: Yes, that's correct, Borja.
Operator: The next question comes from Riccardo Rovere from Mediobanca.
Riccardo Rovere: 2 or 3, if I may. The first one is, Bettina, throughout the call, you and Carsten have repeatedly stated that there is some degree of prudence or upside potential here and there within your 2026 outlook. Could you please list all the areas where you think you might have been prudent in setting the 2026 guidance? The second question I have is 2 -- a few days ago, UniCredit in its UniCredit Unlimited update set the cost trajectory down in absolute terms. I was wondering whether this puts pressure on you to achieve more efficiency throughout over the next few years? And then I have -- sorry to get back to the steepening of the yield curve. It's not clear to me whether a steeper yield curve is included in the EUR 8.5 billion NII guidance, if that's the case or not? And the last question I have is on the capital. Again, you have a target of above 14% but technically, the target is 13.5% at some point in the future. I was wondering what prevents you to bring it down to 13.5%. And on this topic, I was wondering if you could update us where you are on the SRTs on the RWA optimization because especially on the corporate side, I remember you had a fairly large amount of risk-weighted assets reduction related to securitizations.
Bettina Orlopp: Thank you very much, Riccardo. Lots of questions. I hope we get them all. So with respect to upside potential for 2026, where are we prudent? And you know us, we are normally always conservative to make sure that we deliver. I mean, to start with, clearly, we have the risk result. Again, we are guiding it for EUR 850 million. And you have seen in the past years that we always come in below. So there is upside potential, hopefully there -- if things are developing as planned. Number two, it is -- we always have the problem with the fair value, and you know that -- to predict that correctly, so we are always a little bit cautious on that one. Why we are very convinced about the EUR 8.5 billion NII? That is, for us, always a starting point to say it like that. And also on the net commission income, the 7% is an aspirational target, but we are strongly convinced that we can deliver that. And when it comes to the cost side, you have seen that we have maintained a very high cost discipline this year. So we could really also balance out some of the extraordinary burden, which we have seen, and we intend to do that. Also, I have to say that, in 2026, we still have also some doubling effect because we are building up capacities in our shoring locations on the one side. And on the other side, we still have also some people still running the business here to really, really ensure smooth transition. When it comes to competitors, I mean, we really focus on ourselves. Every competitor is different. So for us, it is important that we drive with the right path for our organization. It is very clear that we are committed to efficiency to transformation. It's part of our strategy, Momentum, growth and transformation. And as I said, I mean, we are now in the second year of the strategy implementation. We now start the normal process as we always do. We didn't do it last year because we just had the presentation of the strategy. But this year, we start with our strategic dialogue process, which then ends an updated multiyear plan figures. And clearly, we take into account all the learnings and experience we gathered specifically from our AI use cases which seems to be very promising. So there is -- as also said in the speech, there's upside on that. When it comes to capital, I mean, it's a path, as you know, we have already lowered our CET1 ratio. The target CET1 ratio stays at 13.5%, but we do it, as always, in a path, which is fully aligned also with the regulatory authorities. And the final target, however, stays the 13.5%. And when it comes to SRTs, we have done transactions in the fourth quarter, and we currently have an RWA relief because of SRTs of approximately EUR 9 billion. And on the yield curve, I hand over to Carsten.
Carsten Schmitt: Yes. Riccardo, on the yield curve and the EUR 8.5 billion target for the NII, that's on the current forward curve. So if there's a movement, of course, there is potential. But you also have to bear in mind the portfolio is set up in a way that we stabilize the net interest income, which also means that we do reinvest slightly above EUR 3 billion every month in the rolling tranches. So you will have an averaging up effect in any case. And if there's a change to the forward curves with that amount, we will then also see additional pickup also pending potential decision to invest more in it. So that would be the upside potential in this.
Riccardo Rovere: Sorry, Carsten, to get back to this. So the first bullet point on Slide 11, steep yield curve and corresponding benefit for replicated portfolios, this would be, like say, in a steeper yield curve than the one that it is today because it is already a bit -- there is already a bit of steepening.
Carsten Schmitt: Yes, absolutely. And then you're absolutely -- yes. Sorry. But you're right.
Riccardo Rovere: No, no. Okay, okay. And the other -- sorry, to get back to RWA 1 second. Am I right in saying that what is left in terms of SRTs in '26 should not be enough to compensate for the normal lending growth that you are expecting? Am I right in saying so?
Carsten Schmitt: Yes. As you know, we're using SRTs to manage RWA. If you want also a bit of the risk profile, what we're looking at in 2026, is around EUR 8 billion in volume and an RWA effect of around EUR 4 billion. And that you can see actually, if you look at the volume growth we have set out for ourselves on the corporate side, is helping us to free up resources but not countering the growth.
Operator: Last question for today from Stefan Stalmann, Autonomous.
Stefan-Michael Stalmann: I wanted to ask you about the trends in sight deposits, please. PSBC Germany, that number has been basically flat for almost 2 years now. Is that something where your existing clients are shifting the mix away from sight deposits? Or are you losing actually market share in sight deposits in the German market? And also in Corporate Clients, the number tends to be quite flat [ this year ] by the occasional seasonal side at year-end. And I was wondering if you're actually raising any corporate sight deposits outside of Germany, given that you're doing quite a bit of lending business with [ out of Germany ]. And the second question regarding Aquila, the impairments that you have done in '25 are roughly half of the total intangible assets that came with Aquila. Do you think there could be more to come? And are you seeing any problems with the funds and [indiscernible] and whether or not this could impact the behavior of your clients and the willingness of your clients to invest in new funds?
Carsten Schmitt: Yes. Thanks, Stefan, for the question. So first of all, on the deposits and the deposit side, you're right. If you look at actually the last 8 quarters, we have a stable sight deposit volume across the personal customer space, which, given the markets actually, is what we've always been talking about. We are defending our market share that we're having there and making sure that we have this also at reasonable rates, from our point of view. And overall, you see a slight growth in the portfolio. So we see no structural shifts from sight to term or call deposits. But what we are doing, as I mentioned earlier, is we are also attracting these when we go out with our offers in order to allow us to transform them into other and usually then commission income-bearing products. On the corporate side, also stable. This is always depending a bit on also the economic cycle and how corporates use their liquid assets, if we can call it that, for the time being. And you're right, we see slight fluctuations, especially in Q4, we saw a good inflow on that end. You also asked on the international portion of this, we have smaller portions coming in from corporates internationally when it comes to deposits but not to a structural degree. So it's in line with the business that we're doing with these customers abroad.
Bettina Orlopp: And when it comes to Aquila, I mean, first of all, our Asset Management strategy is clearly a combination of 2 things, in-house and partners. And you see also on the Slide 8, the distribution of volumes and significance. And what we have observed in the past quarters is there is, yes, some skepticism in the moment on illiquid assets, and it's a cycle, but cycles normally also have the benefit that they change. So we stay basically on path here. And when it comes to the depreciation, we did the full depreciation of the intangibles. So nothing more to expect because the rest is embedded in our goodwill of the Private Client segment, and we do not expect any write-downs there. And I think that -- was this -- I think we have had the last question. So I wish you all a very successful day, and I'm looking forward to seeing you soon again. Thank you.